Operator: Good morning, and welcome to United Airlines Holdings' Earnings Conference Call for the Second Quarter of 2025. My name is Krista, and I will be your conference facilitator today. [Operator Instructions] This call is being recorded and is copyrighted. Please note that no portion of the call may be recorded, transcribed or rebroadcast without the company's permission. Your participation implies your consent to our recording of this call. If you do not agree with these terms, simply drop off the line. I will now turn the presentation over to your host for today's call, Kristina Edwards, Managing Director of Investor Relations. Please go ahead.
Kristina Munoz Edwards: Thank you, Krista. Good morning, everyone, and welcome to United's Second Quarter 2025 Earnings Conference Call. Yesterday, we issued our earnings release, which is available on our website at ir.united.com. Information in yesterday's release and the remarks made during this conference call may contain forward-looking statements, which represent the company's current expectations, which are based upon information currently available to the company. A number of factors could cause actual results to differ materially from our current expectations. Please refer to our earnings release, Form 10-K and 10-Q and other reports filed with the SEC by United Airlines Holdings and United Airlines for a more thorough description of these factors. Unless otherwise noted, we will be discussing our financial metrics on a non-GAAP basis on this call. Please refer to the related definitions and reconciliations in our press release. For a reconciliation of these non-GAAP measures to the most directly comparable GAAP measures, please refer to the tables at the end of our earnings release. Joining us on the call today to discuss our results and outlook are Chief Executive Officer, Scott Kirby; Executive Vice President and Chief Operations Officer, Toby Enqvist; Executive Vice President and Chief Commercial Officer, Andrew Nocella; and Executive Vice President and Chief Financial Officer, Mike Leskinen. In addition, we have other members of the executive team on the line available for Q&A. And now I'd like to kick the call over to Scott.
J. Scott Kirby: Thanks, Kristina, and good morning, everyone. The second quarter was yet another proof point that the United -- next strategy continues to work and that the 2 brand loyal revenue diverse airlines continue to generate the bulk of industry profit. I'm extremely proud of the team for executing a strong operation and navigating through a volatile macro period and the unique short-term issues that impacted United and Newark while still managing to grow earnings and margins for the first half of the year. Newark faced unique challenges this quarter. But with the help in partnership with the FAA and DOT, it has rebounded stronger and has been the best performing airport in the New York City area. But I know that everyone, including us, cares more about the future than the past. So I'm going to start today with the 2 macro drivers of our industry, supply and demand. From a supply perspective, it's deja vu all over again. This is almost the exact same setup that we had a year ago at this time with weak RASM results across the industry, leading to supply cuts starting in mid-August, leading to better margin results, which then led to strong stock price performance. But demand also matters in this equation and demand, while it's stabilized, was about 5 points weaker in the first half of the year than we were expecting at the start of the year. As we look closely at the data, we've had a hypothesis that seems increasingly correct. Demand was weak for the last 5 months due to high levels of uncertainty for both businesses and consumers. I'm sure that's not a shocking thesis, but in the past few weeks, the level of uncertainty has declined. The tax situation is settled after the reconciliation bill passed. The geopolitical situation in the Middle East appears to have stabilized. And while tariffs are not yet certain, I think the market and most businesses have a much better read on how they'll manage in a narrower range of outcomes. And encouragingly, that higher level of certainty has translated into a meaningful inflection point in demand. It's only 3 weeks' worth of data. Andrew will give you more detail. But as uncertainty has declined, we've seen an improvement in booked revenue, including a double-digit acceleration in business demand. So to summarize the macro, supply is adjusting once again just like it did last year, and demand feels to us like it has inflected upward and is returning toward the normal trend line we expected at the start of the year. And bigger picture for United, the industry and United Industry-specific transformation, transformation we've been discussing over the last few years continues to play out. One, revenue diversity, and that includes basic economy just as well as premium, is the only formula that works in the U.S. to have industry-leading margins. Two, the 2 brand loyal airlines continue to just gradually win share quarter-over-quarter and the advantages that we have are structural, permanent, irreversible and they're growing and it's simply not practical to copy them. Three, cost convergence, specifically at the high-cost airports is making the economics of flying at those airports for low-cost carriers very challenging. For what it's worth, the only remaining successful LCC around the globe in my view, is Ryanair. And guess what? That's because they're the only LCC that stayed true to their founding principles and don't fly to high-cost airports like London, Heathrow or Charles de Gaulle. Four, and all of that is gradually leading airlines to focus on their comparative advantages. It's often 2 steps forward and 1 step back, but the trend continues to be towards each airline flying more and more in places where they have relative strength and shrinking in places where they're at a disadvantage. That, of course, is just basic economics, but it's happening. And because it's just basic economics, that trend is going to continue for years to come. So to conclude, I'm proud of the team for overcoming the macro and Newark environment in the first half of the year. We had high confidence that the supply changes were coming, but it's good to actually see them. But I'm also encouraged that the demand environment appears to have inflected back towards the trend line we were expecting to start the year. Typically, I would now leave it to Brett to speak next, but he's not able to join us for the call today. He recently had a preplanned surgery and is on the road to recovery. We're looking forward to having him back soon. So for today's call, I'll hand it off to Chief Operations Officer, Toby Enqvist.
Torbjorn J. Enqvist: Thank you, Scott. I'm really proud of our United team and our operational performance in the second quarter. Before I detail our top- tier system-wide results, I'm going to start with the hub that got the most attention this quarter, Newark. Located in the largest media market in America and the most crowded airspace in the world, Newark will always get outside attention. Even this past week when all the New York City airports were hit with severe weather, it disrupted a lot of travel plans and got a lot of airtime. Thunderstorms are going to happen, especially in the summer. That's why cementing the progress we have made over the last couple of months to improve the resilience of our Newark operation is a huge priority for United. At the start of the second quarter, our Newark team was thrust into the middle of a perfect storm. A string of FAA technology outages, combined with Newark's ongoing runway construction and the FAA staffing shortage drove cancellations and delays impacting customers' perception of the reliability of the airport. Those perceptions and the extensive negative news coverage of the situation at Newark Airport drove meaningful book away and load factors dropped 15 points following the event. As a result of the book away and capacity reduction, Q2 margins were impacted by approximately 1.2 points. We expect that the impact will linger into Q3 with an approximately 1 point margin impact. But here's the key takeaway, and it's really good news. We have already seen a dramatic turnaround in Newark. Bookings have largely recovered, and we don't expect any impact in Q4 because Newark isn't just back to normal, it's running better than ever. In fact, United's operation at Newark had the fewest cancellations and most on-time flights of any airport in the New York area in the month of June. The airport now is actually operating within its capability, and our team is back to running an operation that delivers a great experience for our customers. These are the changes that made it possible. Thanks to the great work of the Port Authority, Newark runway construction was completed 2 weeks early and the runway reopened on June 2. The FAA was able to upgrade their fiber optic technology. And perhaps the most importantly, the FAA implemented badly needed hourly flight caps to prevent the airport schedule from exceeding its capacity. Newark has had a schedule and capacity problem that we have been urging the FAA to fix for more than a decade. And thanks to the leadership shown by Secretary Duffy, we now have the line of sight to a longer-term solution to this problem. It's likely we'll look back and find that this long-term capacity fix is the most important and positive outcome for the traveling public. What happened in Newark in April and May is also evidence of the broader need to improve our nation's ATC infrastructure. United was deeply engaged with Secretary Duffy and the FAA, who successfully advocated for the $12.5 billion in funding that Congress just passed earlier this month to begin the long overdue process of rebuilding our outdated ATC infrastructure. Much of this funding will go towards upgrading copper wire to modern fiber optic cables to help reduce the hundreds of outages that FAA experienced across the ATC system. We look forward to working with Secretary Duffy and leaders in Congress for the additional funding needed to fully update our ATC technology. I actually ran Newark Airport for United from 2011 to 2014. So I know the airport really well, and I'm more optimistic about United's future there than I've ever been because Newark has never been better positioned to operate reliable and profitable than there is right now. From the FAA to Secretary Duffy, to Governor Murphy to the New Jersey Congressional delegation to the Port Authority of New York, New Jersey, lots of people deserve credit for this turnaround. But our team on the ground at Newark to serve the most. They are professional, resilient, focused and committed. Despite challenges that were out of their control, they showed up day after day and delivered for our customers and one another. All across the system, United operation continues to fire on all cylinders and continues to be a big reason why our airline is thriving. We ranked #2 in an on-time departure among the top 8 U.S. carriers even though we operate in the toughest markets in the world, all while managing record high customer volumes, including the busiest travel day in United's history with over 611,000 passengers on June 22. We also had one of the lowest second quarter seat cancellation rates in our history. This operational strength played a key role in supporting our strong NPS performance in the quarter, our highest Q2 NPS since the pandemic. Thank you to the entire United team for delivering a fantastic second quarter result. I will now hand it over to Andrew to talk about the revenue environment.
Andrew P. Nocella: Thanks, Toby. United's top line revenue increased 1.7% to a record $15.2 billion in the quarter. Consolidated TRASM for the quarter was down 4% on a 5.9% increase in capacity. Adjusted for events at Newark, we believe United TRASM would have been down 2% to 3% and our EPS would have been at the high end of our guide. This outcome for Q2 comes during the highest level of geopolitical and macroeconomic uncertainty we have seen in years. International flying outperformed domestic yet again with a RASM decrease of 1% compared to a domestic decrease of 7%. United Pacific operations continued their impressive results with positive RASM growth in Q2 across most destinations. We look forward to new service to Thailand, Vietnam and the Philippines starting later this year, subject to government approval. The Atlantic, which had an incredible run of 23% RASM growth since the pandemic, did have negative RASMs year-over-year. Unlike in off-peak quarters, pushing Atlantic RASMs higher in peak periods has proved more difficult in part due to the spread of leisure demand to usually lower demand periods. Margins in these historically off-peak periods are up, while margins in peak months, which are still high, are down. Premium cabin revenues were again strong in Q2, increasing 5.6% year-over-year, while the economy cabin was negative. Overall, premium RASMs were 6 points better than non-premium. It's nice to see once again that the premium capacity remains resilient. Given the consistency of these results, we plan to further lean into premium products and capacity in the coming years. Cargo performance was strong with revenue up 4% year-over-year on record volumes and loyalty revenues had another strong quarter with revenues up 9%. Now turning to our outlook for Q3 and the rest of the year. Newark's negative impact on bookings in Q2 for future travel are expected to have a temporary impact on revenue results in Q3 of about 1 point. The good news is Newark's share of New York City sales has now largely recovered in July, along with the reliability of our flight operations. Passengers can now book with confidence. Newark sales returning to normal for United are critical to our revenue performance. However, in addition to normal Newark sales volumes, we are seeing a step down in published industry capacity later this summer that we believe will be a positive for United. Published industry domestic capacity for August and September indicates slightly less capacity year-over-year when just a few months ago, it was published at up almost 4% Low-margin airlines without strong brand loyalty and diversified revenue streams are cutting unprofitable flying. We believe this is always an inevitable outcome, an outcome that we expect will be uniquely beneficial to brand loyal airlines with much higher margins and well-defined diversified networks and products. The great reset we see from the low-margin airlines today makes sense for them, but in no way do we expect them to match what we offer consumers today plus what we have planned in the future. We have a large lead, and we intend to maintain that with further innovation. Combining normalized Newark sales, along with less overall industry capacity sets up an improved revenue backdrop. However, the most important development for revenues is that the overall demand environment. Recent United and industry sales data confirms a demand environment that has inflected positively in recent weeks due to this less macroeconomic uncertainty. Just as quickly as demand stepped down in early February due to this uncertainty, it appears that demand is now stepping up. This step-up is a 6-point positive swing in sales to date in July versus the second quarter, but even more importantly, a double-digit swing in higher-yielding business revenues in the same period. Domestic ticket sales are now also showing positive year-over-year yields, reflecting this improved demand environment for the first time since February. For us, we believe these 4 factors of Newark performance, industry capacity, demand improvements and positive domestic yields makes the setup for post-summer 2025 very similar to the period in 2024. As you will recall, the second half of 2024 setup created a very good outcome for Q4 and a nice run-up in our stock price. This significant positive momentum in sales in recent weeks is nice to see, but it is really important to draw a distinction between bookings and flown revenue as we look at Q3. Recent booking strength does not change the fact that 50% of third quarter sales were sold as of July 1, prior to the change in sentiment, along with the unique impact of temporary lower demand for Newark on United sales. The setup for Global Flying also looks much better as we head into Q4. For United, Q3 relies the most on the segments of the business that have been the weakest in 2025, offshore sales and main cabin sales. As we head into Q4, we historically rely more on onshore business and premium demand, which makes Q4 of a better outlook in the current environment. Our early look at Q4 global yields and bookings supports our view, but we still have a long way to go and Q3 RASMs will likely be negative year-over-year. In summary, booking strength now translates into stronger flown revenues and RASMs later in Q3 and Q4. This recent sales momentum, along with about 1 point of negative impact on Newark on Q3 RASM gives us confidence that the implied RASM step- up from Q3 to Q4 we have in our internal outlook is quite achievable and maybe even conservative. We're hopeful that cooled Middle East tensions will allow a full schedule to Tel Aviv soon. We plan to resume Tel Aviv service initially just from Newark on July 21 and hope to include other gateways later this year. Building domestic connectivity at our hubs continues to be one of our largest focuses for 2025 and 2026 as we create winning schedules and ultimately larger RASM premiums versus others in the process. We believe this connectivity effort, combined with larger gauge narrow-body jets with more premium seats will narrow significantly the margin gap between our domestic and international flying. United has grown its relative TRASM by 7 points more than the industry since 2019 and faster than any other carrier since the pandemic as evidence that our plan is working and not all capacity is created equally. Brand loyalty for United is increasing with documented share gains in Q1 in each of our hubs. United's revenues are more diverse than ever. And in the process, our product choice range gives customers more choices for the experience they desire. United plans to introduce the Polaris Studio Suite later this year, another step in increase in our premium capacity and revenue diversity. We also look forward to building our Blue Sky collaboration with JetBlue later this year to help create a more competitive alternative for United customers and MileagePlus members in New York City along with Boston. We also look forward to returning to JFK in 2027 after a long absence with a competitive schedule and a built-in frequent flyer base. In summary, we remain bullish about the future given less macroeconomic uncertainty we are seeing, plus scheduled capacity changes by the low-margin airlines later this summer. The inflection in bookings and yields we've recently seen gives us great confidence. With that, I want to say thanks to the entire United team for running a great airline in Q2, and I will hand it off to Mike to discuss our financial results.
Michael D. Leskinen: Thanks, Andrew. I'm very proud of the United team this quarter. We faced several geopolitical challenges that impacted both fuel prices and customer demand while also managing through the Newark difficulties Toby discussed earlier. And despite all of this, we delivered earnings per share of $3.87, well within our guidance range and ahead of Wall Street expectations of $3.81. I'm very pleased with these results and want to highlight that if we excluded the financial impact of the Newark disruption, we would have been above the high end of our range. This is another proof point that our United Next plan is working. In fact, I go as far to say that our plan has worked. The industry has transformed into a healthier industry where customers are brand loyal and increasingly choose to fly not just based on the schedule, but also based on their preferences for reliability, for clubs, for technology and for loyalty programs. The industry now has 2 brand loyal, structurally profitable and revenue diverse airlines, which has driven much of the rest of the industry to cut money-losing capacity to return to profitability. This is irreversible and will lead to stable double-digit margins for United Airlines. Turning to costs. We continue to run better than planned, and I'm pleased with the 2.2% CASM-ex growth we delivered in the second quarter. You've heard me say that the best way to manage cost is to run a reliable airline, and this team continues to deliver. I expect similar cost performance for the remainder of the year. As we look to the third quarter, we expect continued stabilization in the geopolitical environment. This is already driving stronger bookings. And as Andrew discussed, we're optimistic those trends will continue. Taking that into account, along with the continued strong cost performance, we expect third quarter EPS to be between $2.25 and $2.75. Consistent with what happened last year, we also expect the industry to continue to reduce money-losing capacity in domestic markets beyond September. This adds to our confidence in the fourth quarter and may even lead to upside as we continue to believe in our path to double-digit pretax margins longer term. For now, we expect full year EPS to be between $9 and $11. Turning to the balance sheet. We ended the second quarter with $18.6 billion in liquidity, including our $3 billion undrawn revolver. We generated over $1.1 billion of free cash flow. And importantly, on July 7, we paid down the remaining $1.5 billion balance of our MileagePlus bonds 2 years early. This was our most expensive remaining fixed rate debt. This prepayment, along with the prepayment of the MileagePlus term loan a year ago, fully unencumbers the MileagePlus business, a crown jewel asset of United. With this prepayment, we have unencumbered assets that exceed $40 billion. Strengthening the balance sheet remains a top priority, and we target net leverage below 2x and continue to work towards investment grade. With this prepayment, we've now reduced our gross debt by almost $11 billion since the peak debt level of COVID. Our average cost of debt is now 4.7%. On the buyback, we repurchased $235 million worth of shares at an average price of $66 during the quarter, leaving $829 million in authorization. We will continue to take a balanced approach to our capital allocation strategy. Our shares continue to trade below our view of intrinsic value. Therefore, we are balancing the level of buyback while also pursuing our leverage target. We ended the second quarter at 2x net leverage. Free cash flow generation also remains a priority, and we now expect to generate over $2 billion in free cash flow for the year. In conclusion, I remain excited about the future of United Airlines, and we will continue to work to deliver on our financial commitments. Despite the headwinds we faced in the first half of the year, we delivered significant growth in EPS, and we feel very good about the core fundamentals of our airline in the second half of 2025 and beyond. Now back to Kristina to start the Q&A.
Kristina Munoz Edwards: Thanks, Mike. I echo that excitement. We will now take questions from the analyst community. Please limit yourself to one question and if needed, one follow-up question. Krista, please describe the procedure to ask a question.
Operator: [Operator Instructions] And your first question comes from Tom Wadewitz with UBS.
Thomas Richard Wadewitz: It's Tom Wadewitz from UBS. So I wanted to ask you a bit on the cost side performance. Mike, I think your comments were pretty favorable. Obviously, the 2.2% CASM-ex in 2Q is very good. How do we think about that going forward? And then I think there was one particular expense item that seemed a bit lower than kind of normal. The distribution expense was down quite a bit year-over-year and sequential, which seems different than normal. So I don't know if there's something that's kind of one-off helping you there or just more on the cost side and how you keep the strong performance going on that.
Michael D. Leskinen: Tom, I appreciate the question. I am really proud of the cost performance better than I certainly expected back in January. I want to be clear, we expect similar cost performance to Q2 in both Q3 and Q4. For '26 and beyond, you'll have to wait as we continue to work on budgets. Distribution expense does continue to come down as more customers are choosing to go through the direct channel. So I do expect that long-term trend. We did get some benefit this quarter that had some puts and takes that brought that down even more in the second quarter. But longer term, distribution costs are headed lower, and we're really proud of that result as well.
Thomas Richard Wadewitz: Okay. Yes, that's great. And then for the follow-up, just on demand, you had some really helpful commentary. Are we back to January levels on demand or we're kind of on the way back there? Or how do we kind of reset to say, okay, in July, with Newark recovery and a little bit of stabilization, kind of just where are we at?
Andrew P. Nocella: It's Andrew. Look, what we said is there's been a 6-point inflection versus Q2 and an even stronger inflection for business traffic during that time period. There's a lot of machinations with the numbers prior to that. But I just think from where we are standing today, we're really pleased by that change in direction of bookings, combined with less capacity starting in August and September and then just some more favorable Q4 environment. So we do think it's a nice step up and hopefully conservative based on where the bookings have recently been, but it's a good change in direction.
Operator: Your next question comes from the line of David Vernon with Bernstein.
David Scott Vernon: So Mike, the last time we spoke, you put out kind of 2 guidance ranges, one that would be intact as things are stable. Now we're coming down to kind of a little new lower midpoint. Can you kind of walk us through kind of where we're settling in or what's changed from stability to where we are now? And then talk about kind of what's baked into that second half guidance, particularly around the acceleration of demand? Are we baking that kind of into the guidance range? Or is there an ability to kind of maybe do better than what we're laying out here in the second half?
Michael D. Leskinen: Thanks, Dave. Really appreciate the question. Look, we've had a philosophy here at United to guide conservatively to build in one active guide because this industry, things happen. Fuel prices spike, there's an ebb and flow in tariffs. There's lots of things that change. And so it is important to us we deliver on our commitments. And so as you look at that 9% to 11% for the full year and what's implied by the second half, we are consistent with our philosophy of building in that active guide. If you go back to the end of the first quarter and the call, we talked about the 2 ranges. The world was highly uncertain at that time. And I was very clear at that time that the higher range, the $1,150 to $1,350 that there was no contingency left that, that piece of the guide was not consistent with the -- with any more acts of God that would impact us. But I'm very excited. The bookings over the last 3 weeks have been very strong. And if everything continues on that trajectory, I think the 9% to 11% will prove conservative.
David Scott Vernon: All right. That's helpful. And then, Andrew, you mentioned sort of looking at the implied RASM step-up you're getting from 3Q to 4Q maybe also being a little bit on the conservative side. Can you kind of frame kind of what the levers are in there that you're thinking might actually do better than what we're seeing right now? Is it in main cabin? Is it an acceleration of business? Kind of help us think through like what that -- what are the drivers of that step-up from 3Q to 4Q? And where are the things you're more versus less certain on?
Andrew P. Nocella: Well, the most certain thing is what the other airlines have published for schedules in August and September, which now just a few weeks ago, we're showing plus 4 and now show negative for domestic. And so I think the demand environment I just talked about, the ability for business traffic to rebound, which kind of changes the yield profile, I said we were booking negative yields for a majority of the year, and those have now flipped positive for domestic. So when you take lower demand, positive yields and this pretty strong inflection in business demand for United, that's the reason I feel really great about the setup for Q4. As we said earlier, it's very deja vu in some of these circumstances to what we saw last year, which was a pretty significant step-up. So we anticipate the same based on what we see in published schedules, based on demand, based on yields and based on business traffic.
Operator: Your next question comes from the line of Jamie Baker with JPMorgan.
Jamie Nathaniel Baker: This one is probably for Scott. Your primary U.S. competitor has a significant nonunion labor construct. It's got one of the most efficient hubs in the country. It's got a sizable MRO. It's got perhaps the most evolved relationship with its loyalty partner. And to your credit, Scott, I mean, you've spoken publicly about holding Delta in high regard. So my question is, what are the catalysts that potentially allow United to overtake Delta margins in coming years? Is it structural? Is it simply brand preference or perhaps you reject the premise that you can have the industry's highest margins, but I doubt that, that's going to be your answer.
J. Scott Kirby: You know me well, Jamie. I appreciate the question. But what I'd say is I do respect Delta. In fact, on a conceptual level, much of what we've been trying to do for the last 15 years at the airlines I've been at is win brand loyal customers. And I think they were one of the first airlines maybe the first in the U.S. to really prove that winning brand loyal airlines was the winning formula -- winning brand loyal customers was the winning formula for airlines. But my focus is entirely on returning United Airlines to solid double-digit margins and higher absolute margins as opposed to what we do relative to Delta. I think we are the only 2 airlines that have a -- we're the only 2 brand loyal revenue diverse airlines. I think that is structural. It is permanent. We can talk in more detail about why. It is not copyable by anyone else. And we already generate the bulk of the industry profits. I suspect when you hear earnings results next week, despite the challenges that Delta had last year at CrowdStrike, we have this year, there's going to be those ups and downs that our margin gap to the 2 of us, our margin gap to the industry is going to continue to expand. And I think we're going to wind up in the same ballpark on margins. You mentioned some of their advantages. We have some advantages as well. Our hubs are better. Atlanta is a great hub, but collectively, our hubs, I think, are better. They're in bigger cities. We have better international gateways in San Fran, Newark and Dulles in particular. So I think those are going to largely balance out. We're going to wind up with similar margins. But I'd much rather us have 13% margins and Delta have 13.5% than us have 10% and Delta have 9.5%. And everything we're doing is 100% focused on winning brand loyal customers and creating a great airline that customers are going to choose to fly because that is going to maximize our absolute margins. And this quarter is another -- like this first half of the year, it's remarkable to me, everything that's happened this year that we've grown earnings and margins for the first half of the year. And our guidance is for earnings to be down a little bit this year given everything that has happened. But we have a shot at actually growing earnings this year, which would be a truly incredible result and proof point that winning brand loyal customers was the right strategy. We started it a long time ago. You can't flip it overnight. The 2 of us have the right strategy, and we are going to generate the bulk of the industry profits.
Jamie Nathaniel Baker: Excellent. And then quickly for Mike, on the loyalty paydown, Streeter and I certainly get that it was your highest cost prepayable debt, makes total sense from a financial perspective. But we keep circling back and asking ourselves if we should be thinking about that recent transaction through more of a strategic lens. Can you afford any perspective on that?
Michael D. Leskinen: Thanks for the question, Jamie. MileagePlus is a crown jewel asset for us. And we're absolutely thinking about the value of that business, the multiple of business with the resiliency of earnings that our loyalty business has is significantly higher than the historical average for the airline industry, and that's not lost on me. My focus at this time is to provide segment disclosure. So there's more transparency on the earnings, the resiliency, the earnings growth of that business. And we're working very hard to get that segment disclosure to the market at some point next year. That's my focus. If our -- if the value is not recognized, we certainly will take more drastic steps, but the focus right now is only segment reporting. The unencumbering of the business does give us optionality.
Operator: Your next question comes from the line of Conor Cunningham with Melius Research.
Conor T. Cunningham: Maybe to piggyback on Jamie a little bit here. Scott, last third quarter -- or last year's third quarter, you talked a lot about the industry being on a path of the 2012 to 2014 cycle with margins doubling. Clearly, the environment kind of started off more challenging this year. And some investors kind of abandoned that narrative. But I was just curious on how you view your thesis now and what may have changed since the start of the year or really what you've learned and how that's been applied to that thesis in general?
J. Scott Kirby: I think the thesis is intact. What's different is what changed with demand this year. The thesis is really a supply thesis. That's what you can control, and that's what happened in 2012 to 2014. But 2012 to 2014 was in a backdrop to of a stronger demand environment. And this year, demand has changed. Demand inflected downward certainly for the first 6 months of the year, given everything that's happened, all the uncertainty in the world, at least that's my theory of what happened. And it started to inflect back positive. Now it's not all the way back to what it was. The business demand has recovered. It's not all the way back, but it has certainly inflected in a positive direction. And sort of my read of the economy and talking to other CEOs and just watching the data is that the economy hit a turning point, did hit an inflection point at the end of June, and I expect it to continue -- that to continue. I think the supply portion of that 2012 is firmly intact. I think demand is on the road -- demand has ups and downs that always happens. It is on the road to recovery. I think one thing that's becoming even more clear though is also the strength -- the dispersion of results in the industry and the strength of the 2 brand loyal airlines really winning and everyone else losing. And if I dig deeper into it and I look at every airline that's not named United or Delta, I can find at every single one of them, a double-digit percentage of their route network that loses money. And the only way for them to get margins that are anywhere close to their WAC is to stop flying places that lose money. And that is going to ultimately happen. I don't think it's going to happen tomorrow. I don't think it's going to happen in the near term. But I can look at how much money is being lost route by route and know that economic gravity is ultimately going to win. So I think actually, the results are going to -- in total, the industry is going to go in the same place for supply, but the results for the 2 winning airlines are going to be outsized in that environment.
Conor T. Cunningham: Awesome. Appreciate that. And then maybe, Andrew, last quarter, you talked a little bit about taking the reins on industry spill traffic. Obviously, just given the changes in opened up basic economy a little bit sooner. But you're being pretty clear about what you're seeing in July. So I'm just trying to understand how you're managing basic economy versus other products out there from a couple of months ago.
Andrew P. Nocella: Sure. I think the demand environment is what we said it was over the last 90 days, but it's inflected much positive -- much more positive today. But that did create a setup for Q3, which means more open RM systems. I don't think that's going to be unique to United, particularly in the domestic environment. And that has created some more lower yields and has created, I think, ultimately, when we report more penetration of basic economy passengers in our numbers for the next 90 days this quarter. So expect a higher percentage of basic is my take as we go through the next 90 days.
Operator: Your next question comes from the line of Andrew Didora with Bank of America.
Andrew George Didora: I guess my first question probably for Andrew. I never think of summer as being the time for corporate demand to meaningfully accelerate. So any kind of color you can provide on what you're seeing there? Any specific geographies or industry verticals driving this? And are you seeing the level of corporate bookings return to the levels seen at end of 2024, early 2025 right now?
Andrew P. Nocella: Well, first of all, we're comparing year-over-year. So we're comparing summer over summer, and we're seeing that strength in the numbers, which is nice to see. So I think it is consistent with a summer environment, which is, again, nice to see. Second point, which I think is particularly important is the strength we're seeing is across all of our hubs and different verticals. So we're seeing a rebound across the board, which I think reflects the commentary earlier about less macroeconomic uncertainty. So we have obviously a very strong recovery in New York. We're not fully recovered yet from a business point of view, but that's moving along. But the fact that the non-New York business for United over the last few weeks has been almost as strong as New York is one of the reasons I'm particularly excited. I do think this reflects customer choice, corporation's choice and our relationship with travel agencies that we are being chosen more and more often. But the fact is -- and the most important part of this question -- or answer is the fact that the growth we're seeing in business traffic is across the board. It's not in any singular hub.
Andrew George Didora: Great. That's helpful. And then my second question for either you, Andrew or Scott, if you want to chime in. Just on this whole industry capacity dynamic, why do you think we've been in this position a lot over the last few years, basically sitting here in the peak summer and seeing the need for capacity cuts coming in sort of the off-peak once we hit post August into Labor Day. Why do we not see more of this capacity, call it, discipline more in the first half of the year or in other off-peak periods? Just curious your thoughts on that.
Andrew P. Nocella: Sure. I'll give it a try. Look, as we've said a lot now, there's really distinct carriers out there with distinct demand situations. And so for the leisure-oriented carriers that are also spill-oriented carriers, which is a lot of them, I think it's become really obvious very, very quickly that in the lower demand off-peak periods, it doesn't make a lot of sense to push the aircraft very hard. And a lot of airlines across the industry, I think, just simply have lower utilization. Given that, I think there's a desire to offset that. It's just natural in our business across the board to see -- to push the aircraft harder in Q2 and Q3 when demand normally seasonally turns. And I think that's the output that's occurred, and we'll see where it goes next year. But I think it's pretty obvious in off-peak periods. It's hard to push aircraft. It's hard to push aircraft on red eyes. It's hard to push the 5:00 a.m. flights or 10:00 p.m. flights. And it's pretty obvious that we at United do that, do that. I've talked about the golden hour flying, which is 7:00 a.m. to 8:00 p.m. I think our golden hour percentage is the highest of any U.S. carrier over a 12-month period. There changes from month to month. And I urge you to pull that number, and you'll see that each airline has a different strategy when it comes to this, and we'll see where the industry is a year from now.
Operator: Your next question comes from the line of Scott Group with Wolfe Research.
Scott H. Group: So I'm just wondering, is there any way to quantify maybe how much of the 6-point improvement you're talking about is tied to Newark and how much is just broadly? And then the implied improvement in fourth quarter RASM, is that more of a domestic or international? Just any color there?
Andrew P. Nocella: Definitely, I think, a domestic improvement as we move forward given the capacity environment. 6% is broad-based. So Newark is better, obviously, in that number and then the rest of the network is below 6.
Scott H. Group: Okay. And then maybe, Scott, I didn't hear anything today about JetBlue and Blue Sky. Maybe just how you view that sort of driving your longer-term views around where margins and everything can go.
J. Scott Kirby: Well, Andrew had it in his script. But I think it's important for us. We've become the premier flag carrier of the United States and being able to be in JFK. It's hard to really complete that unless we're there. A lot of customers, you know them by some of your neighbors that fly out of -- fly on both sides of the Hudson, and it's important for us to be on both sides. And this is a great way to do it, our partnership with JetBlue. They're a customer-focused airline. They have the same DNA. They may not be as big as us, but they have the same kind of DNA for how to take care of customers and caring about customers. And this is a great way to have a built-in frequent flyer base on both sides of the Hudson and get our metal back into JFK, which is important to our brand.
Operator: Your next question comes from the line of Tom Fitzgerald with TD Cowen.
Thomas John Fitzgerald: Would you mind providing us an update on Connected Media? It's been a little over a year since the launch and Richard's comments publicly have seemed pretty positive. So I'd love to hear how you're thinking about that maybe being a contributor for 2026.
Andrew P. Nocella: Sure. I think things are moving along. We are spending a lot of time building our technology stack and building our client roster as we market our services. We seek to double our revenues in 2025 versus 2024 in the media revenue channel. We'll see how we come out. It's a big challenge, but we're moving along. And one of the big enablers for all of this is the seatback screens that we have installed years ago and the introduction of Starlink. And obviously, the seatback screen that we're making great progress on. We're well over half of the aircraft that have the new technology on board. Starlink, we've just started. But when you combine Starlink and the seatback screen, that's when the real magic happens. So that's going to unlock a lot more value at Connected Media in the 2026 -- late '26, 2027 time period as we bring all the ingredients, including the internal technology stack online. So we still have a great outlook. We're looking forward to rapid growth in the business as we bring all those factors together.
Thomas John Fitzgerald: Okay. That's really helpful context. And then just on the fleet and the supply chain, I'd love to hear just how -- what you're seeing on your end with deliveries. And then just how you're thinking about the timing of the gauge benefit over the next couple of years.
Michael D. Leskinen: Tom, thanks for the question. This is Mike. Boeing is doing a great job on narrow-bodies. So we're seeing MAX deliveries actually slightly ahead of the schedule we were planning on. So really pleased with that and all evidence suggests that they're going to maintain that trajectory. On the wide-body front, 787s, they haven't got to plan yet. We're hearing good things, but there's also some engine constraint wide- body longer term. So the jury is still out on wide-body, but Boeing is doing a great job on the narrow side. And minimal delays, but some still delays with 321s. Overall, the supply chain is healing itself, but I think probably engine remains constrained for some time to come. I'm sorry, the second part of your question?
Thomas John Fitzgerald: Just how we should think about the cadence for the gauge benefit that you guys are going to see over the next kind of in '26 and '27?
Michael D. Leskinen: As we move into 2026, current plan has gauge up 2%. And I think gauge growth will accelerate from there in '27. So that's where we are.
Operator: Your next question comes from the line of Catherine O'Brien with Goldman Sachs.
Catherine Maureen O'Brien: Maybe the first one for Mike. You noted that costs have continued to go better than planned. Can you just dig in a little on what went better in 2Q? And then what are the cost tailwinds you have in the back half to offset the flight attendant ratification headwind that you end up with similar performance in back half versus 2Q that I don't believe had the flight attendant contract? Or maybe that 2 half comment doesn't include the impact of the new flight attendant contract? Any help there would be helpful.
Michael D. Leskinen: Thanks, Catie. I did say in my script, and I'll reiterate it that running a strong and reliable operation versus what we were thinking. And we had aggressive goals, but Toby and team have done even better. That's number one. Number two, we have -- we've made some big changes in our procurement department, and we're seeing some real savings out of the supply chain. We're also doing a better job of managing inventory of parts. And so that's been very helpful as well. I think that, that all continues and we'll be -- we will also benefit from gauge as it starts to accelerate. So I feel very good about that. And when I gave the comments around CASM in Q3 and Q4, that is inclusive of the AFA deal.
Catherine Maureen O'Brien: Okay. That's great. Maybe one for Andrew. You noted this year has given you more confidence in premium products and you'll look to increase premium more going forward. I'm assuming that means increasing the percentage of premium seats per departure, but correct me if I'm wrong. I guess just any thoughts on where that percentage could go over the next 5 to 10 years? And within that, is there any segment in the premium cabins between Economy Plus, international Premium Plus or Polaris that would be -- the bulk of that upsizing or it's really equal across the various premium cabins?
Andrew P. Nocella: Yes. Thanks for the question. It's a really good question. I won't give every detail. We'll save that for a more detailed type structured meeting. But we announced our United Elevated interior onboard, the 787-9 in Brooklyn just a few weeks ago, and that particular aircraft will now have 99 premium seats on it, which is Polaris plus Premium Plus. Not every aircraft United flies by the way, that we take delivery in the future will have that same 99 seats. But that's a good reflection of an aircraft that we already said we will be flying to Singapore. We think that's the right aircraft for Singapore and many other markets at United, where we have this really high level of premium demand. Probably the biggest expansion though, that I think is an opportunity is we undersized the Premium Plus cabin, the cabin between main cabin and Polaris on our wide-body jets. And that's the cabin, I think, that's generating very good returns and the one that we'll probably lean more into going forward. But we'll leave all the details for a later date. But Premium Plus is, I think, a really very exciting opportunity as a midrange product between the front of the aircraft and the back. And then last but least, the gauge benefit that Mike talked about, as we bring on these MAX 9s and A321neos, we definitely bring on many more premium seats than the aircraft we ultimately replace the A319 or the A320. And so our premium mix just shifts as we upgauge the fleet and retire older ones and bring in these new ones that are just performing really well for us.
Operator: Your next question comes from the line of Duane Pfennigwerth with Evercore ISI.
Duane Thomas Pfennigwerth: As you think about your aspirational longer-term margin targets, maybe pretax margins in the low teens from 7 or 8 today, I wonder which geography you expect to be the biggest contributor to that expansion?
Andrew P. Nocella: Well, look, I think I've said this a number of times, and it's true. Our international margins are doing really well. And I think they're going to do better in the future with, for example, the Elevated 787 aircraft is going to push our margins even higher. But our international margins are pretty strong. The domestic margins, which are positive, to be clear, and not only are they positive, they're positive in each and every one of our hubs, by the way, in the last 12 months. But the opportunity there is to lower the gap between the domestic margins and international ones. If there, I don't expect our domestic margins to really ever completely close that gap. But I do think there's a lot of upside as we build connectivity. Our hubs are in big cities and they're undersized. We have the wrong gauge still. We simply do not have nearly as many 321s as we hope to have at this point in time. And of course, Boeing is yet to deliver a MAX 10 as we've talked about quite frequently. And so we're well behind on the premium seat and the connectivity and the gauge that we intended to employ in our domestic system. And then the other thing, as Scott said over and over again, there is a factor that there's a lot of uneconomic capacity offered by other airlines. We've already seen that start to leave the system, and I expect we'll see more of that in the future, which will definitely help. But we have a core plan with premium seats, gauge, connectivity. And we've had that same plan, by the way, for a long time period now. We continue to execute against it. And when we get to the bigger aircraft, I think you're going to see the margin gap close.
Duane Thomas Pfennigwerth: And then maybe one -- just on pilot hiring, just given the pickup in deliveries, is it fair to say you were overstaffed on pilots? And now that you've seen a pickup in deliveries, is that more in balance? Or is that unfair? Maybe there wasn't a mismatch. But just wondering how as these deliveries pick back up, is there better alignment between your staffing levels and the ability to actually deploy it?
Torbjorn J. Enqvist: Duane, I think you think it a little bit when it was coming out of COVID, we've been pretty balanced. We have a really good relationship with Boeing. There's not really any surprises. Like what Mike was saying is that we've built in like a couple of shells each year that we may or may not move for fact that we're getting. So it's so small. I mean we're hiring 3,000 pilots a year. So we've been balanced for quite some time now. So I think the answer to your question is no. We're not overstaffed and we're not understaffed. We're just pretty much perfect when it comes to the pilots.
Michael D. Leskinen: Duane, I think what you're seeing partially in CASM-ex when I talk about running a great operation is that we are at the right staffing levels.
Operator: Your next question comes from the line of Michael Linenberg with Deutsche Bank.
Michael John Linenberg: Yes. This is just a question for Scott about Newark and the fact that your caps, I guess, it's 68 at the airport run through the end of October. And I think what we've seen is the caps at Newark have clearly helped New York Airspace. And I guess, by extension, it's really helped the national airspace. What are the considerations that are out there right now that are, I guess, being debated with respect to returning Newark to a Level 3 airport?
J. Scott Kirby: So I am incredibly appreciative, happy with the Secretary Duffy, Administrator Bedford, DOT, the FAA for finally putting Newark on a level playing field with LaGuardia and JFK. I've literally been begging them to do that from the time I've been here at United. It's just -- it's simple math. When you schedule more flights in the airport can handle in perfect conditions, it's not going to be good. And regardless of what it gets called, I think we're going to have Newark effectively capacity control. I think they realized they understand math. The current team understands math, and we're going to have it capacity control. I think it will go up from what it is today. Actually, I'm pretty sure it's going to go up, but it's going to end in a place that is manageable where Newark can continue to be a competitive airport. It's been the best of the 3 New York airports in the last month and that it will be every bit as competitive. And I think that has always been the key to realizing the full potential of Newark to -- it already is a crown jewel for us, but making it a great airport for customers. And as tough as this has been on us in the short term, it is going to be better for years to come because we have finally solved the obvious issue, which is match airport capacity, airport flights to the airport's capacity and put Newark on a level playing field with LaGuardia and JFK.
Michael John Linenberg: Great. And just a quick one to Mike. In your fleet plan, you're showing the 321 XLR. So how many are you getting this year? And then how soon do they find their way into international service?
Michael D. Leskinen: Mike, none this year.
Andrew P. Nocella: It will be the summer of 2026.
Operator: Your next question comes from the line of Stephen Trent with Citi.
Stephen Trent: The first, I was just curious, I appreciate the comments about Europe and sort of the summer travel season extending. There's been stuff in the news about anti-tourism incidents in some cities. And are you guys seeing anything at all there in terms of what the flow looks like? Or it's not really an issue at this juncture?
Andrew P. Nocella: I would just add, United disproportionately boards U.S. citizens out of the United States. And so any changes in demand from outside of the United States into the United States is the brunt of that change is more felt by foreign flags. So you should ask them that question. But our demand to Europe. We're having a very strong summer. I'm really happy with the results. It could always be better, but it's another strong summer to Europe, particularly to Southern Europe. So get out there and have a great vacation.
Operator: Thank you. We will now switch to the media portion of the call. [Operator Instructions] Your first question comes from Brandon Oglenski with Barclays.
Brandon Robert Oglenski: I'm not sure I'm media, but...
Michael D. Leskinen: Your lucky day, Brandon.
Brandon Robert Oglenski: Mike, I'll just keep it to one. But the commentary and outlook for $2 billion of free cash flow this year, it's pretty impressive just given all the challenges you guys have had. But your CapEx is a little bit low. I mean you talked about the 787 delivery delays. So assuming Boeing gets back on plan for next year or into the out years, you're back into that $7 billion to $9 billion of CapEx range. Should we be thinking FCF at these levels is still a sustainable outlook?
Michael D. Leskinen: Brandon, thank you very much for the question. Let me point out that, that $6.5 billion this year, there's some downside to that based on continued delays on the wide-body side. So I think we're going to come in inside of that this year. And as we roll to '26 and '27, I fully expect free cash flow to expand. I think operating cash flow is going to expand faster than CapEx. We'll see. There may be some puts and takes in an individual year, but I expect free cash flow to expand and free cash flow conversion to expand both.
Brandon Robert Oglenski: Well, maybe that's a bullish way to leave it off for my media counterparties.
Operator: Your next question comes from Mary Schlangenstein with Bloomberg.
Mary Schlangenstein: I wanted to see if you could provide an update on the status of the static interference and Starlink issues on United's planes and whether the service and the regional jets are up and running now? If not, what's the issue? And how long will it take to get it resolved?
Torbjorn J. Enqvist: Mary, it's a good question. This is Toby. I think it's pretty much been resolved, and it's also very specific to the one -- the first aircraft we tried on, which is the E175. Obviously, it's a smaller airplane and the biggest problem with the interference, I'm obviously not an engineer. I just play one during the day. But anyway, it was too close to each other. The 2 antennas was too close together. So they worked around that. We've got 60 airplanes flying around right now, and we think that the issue is behind us. And again, for the other fleet types because the airplanes that we're going to put them on are much larger, we want to have that issue.
Mary Schlangenstein: Okay. And was that 60 6-0 airplanes are already up with it?
Torbjorn J. Enqvist: Yes, sir -- yes, ma'am.
Operator: Your next question comes from the line of Leslie Josephs with CNBC.
Leslie Josephs: Just curious if you could give us an update on when you expect to get the MAX 10 and how once you get that, that's going to increase your premium capacity. And Scott, I know you were talking about Delta and United kind of in their own category and then everybody else. How do you feel about Delta starting LAX to Hong Kong and to O'Hare?
Michael D. Leskinen: Leslie, regarding the MAX 10, we're still hopeful that we can have some deliveries in 2027. But we right now have a contingency plan to be able to take MAX 9s and continue our upgauging strategy with MAX 9s. So either way, it won't be disruptive to our longer-term strategy. I would like to take the 10s and 2027 is my best guess right now.
Leslie Josephs: And on Delta?
J. Scott Kirby: We fly 6,000 flights a day. So a couple of new routes aren't that big of an issue for us. But I guess I feel complemented when other airlines feel like they're worried about us getting ahead and have to fly routes you're going to lose money for them.
Operator: Your next question comes from the line of Dawn Gilbertson with The Wall Street Journal.
Dawn Gilbertson: My question is for Andrew. I'm wondering, you guys talked a lot recently about making Polaris even more premium. Are you weighing like your new favorite brand loyal competitor, are you also weighing barebones business class tickets? And if so, can you walk us through that and talk about any time line? If not, why not?
Andrew P. Nocella: Thanks, Dawn. Look, what I would say is over time, over the last 7 or 8 years, we've leaned heavily into segmentation of our revenues, which is really in our articulate way of saying, providing more and more choices to our customers so they can pick the experience they would like from premium to basic economy. And we have learned through that time period that our customers really appreciate this. Not everybody wants the full experience. Some people want other experiences. And so the value to United as an airline and to that of our customers has been proven by the segmentation of revenues that we've done. And we look forward to continuing to diversify our revenue base and segment it in the appropriate way, and I'll leave it at that.
Operator: I will now turn the call back over to Kristina Edwards for closing remarks.
Kristina Munoz Edwards: Thanks for joining the call today. Please contact Investor or Media Relations if you have any further questions, and we look forward to talking to you next quarter as the industry transformation continues.
Operator: Ladies and gentlemen, this does conclude today's conference call. Thank you for your participation, and you may now disconnect.